Tiffany: Good afternoon, everyone. This is Tiffany, and I will be your conference coordinator today. Welcome to Roblox Corporation's Fourth Quarter and Full Year 2025 Earnings Call. All lines are on mute. After the speakers' opening remarks, if you would like to ask a question, during that time, simply press star then the number one on your telephone keypad. Now I would turn the call over to Jamie Morris, Roblox Corporation's head of investor relations. Jamie, thank you.
Jamie Morris: Good afternoon, everyone. I'm very happy to be here for my first earnings call at Roblox Corporation. Thank you for joining us to discuss our Q4 and full year 2025 results. With me today is Roblox Corporation's Co-Founder and CEO, David Baszucki, and our Chief Financial Officer, Naveen Chopra. Before we begin, I would like to remind you that our commentary today may include forward-looking statements which are subject to risks, uncertainties, and assumptions that could cause actual results to differ materially from those described in our forward-looking statements. A description of these risks, uncertainties, and assumptions are included in our SEC filings, including our most recent reports on Form 10-Ks and Form 10-Q. You should not rely on our forward-looking statements as predictions of future events, and we disclaim any obligation to update these statements except as required by law. During this call, we will also discuss certain non-GAAP financial measures. Reconciliations between GAAP and non-GAAP metrics can be found in our shareholder letter and supplemental slides, which are available on our Investor Relations website. With that, I will turn the call over to Dave.
David Baszucki: Thank you, and good afternoon, and thank you all for joining us today. One year ago, we shared our goal of growing year-on-year bookings at 19% to 21%. We talked about our goal of capturing 10% of the $200 billion global gaming content market on Roblox Corporation. The results we are sharing today for Q4 and the full year 2025 demonstrate the incredible progress we have made. In 2025, we significantly exceeded our guidance both on revenue, where we grew by 36%, and on bookings, where we grew by 55% year-on-year. We saw the emergence of viral hits that broke concurrency records at a platform peak in August 2025. We hit 45 million concurrents on Roblox Corporation. We saw new records for individual games on Roblox Corporation, including in September 2025, Steel of Brain Rot peaked at 25.4 million concurrent players at the same time. We saw strong engagement and bookings growth across a long tail of content driven in part by search and discovery advancements, and we made great progress on the technical end of underpinnings of our platform that drives genre expansion. We took safety a step further in just the last two months, rolling out facial age estimation across our platform, and we are unique in large platforms with over 100 million DAUs. In doing this, we completed the global rollout in January. Today, we continue to be bullish about our future. We are at about 3.4% of the global gaming content market. As you know, we are aiming for 10%, and internally, we have even more ambitious goals for the US market. Now diving into Q4, where we delivered another quarter of outperformance, Q4 revenue was $1.4 billion, up 43% year-on-year. And our Q4 bookings were at $2.2 billion, which is up 63% year-on-year. We saw strong growth across all regions, US and Canada grew 41% year-on-year, APAC grew 96% year-on-year, with a couple of key strength points. Japan at 160% year-on-year, India 110% year-on-year, and Indonesia at over 700% year-on-year. On DAUs in Q4, we saw growth at 69% year-on-year, really strong growth across all regions. And our engagement hours in Q4 of last year were at 35 billion hours, that's up over 88% year-on-year. Quarterly, monthly unique payers were nearly 37 million, which is close to a double from a year ago and up sequentially, and this was strong across the globe, US and Canada up 34% year-on-year. In Q4, DevEx was at $477 million, which was up 70% year-on-year. This increase in DevEx reflects our 8.5% increase rate in September, and for 2025, creators earned over $1.5 billion for the first time. If we take a look at our top thousand creators, they earned an average of $1.3 million, which is up over 50% compared to a year ago. Our results reinforce our conviction in our long-term vision. We believe the future of gaming is part of a bigger vision around human co-experience. Our mission is to connect a billion people every day with optimism and stability, and we remain bullish about this vision. In the shareholder letter, we outlined some areas of innovation and investment we believe will fuel growth in 2026 and beyond. First, we introduced the concept of novel game expansion, which is how we talk about expansion in the genres and footprint to our older audiences. You will note now that we are age-checking all users who participate in communication on our platform, we have been able to find a really bigger growth opportunity in the 18 demographic than previously assumed. We estimate our 18 and over cohort is growing at over 50%, and this cohort monetizes 40% higher than younger cohorts. We are optimizing our platform technically to facilitate growth of high-monetizing genres popular with older users, such as shooters, RPGs, and sports and racing. And we believe our technical opportunity on the platform is enormous. When we look at the gaming industry as a whole, in a sense, there is enormous room for advancement. Right now, typically, where we are going with our platform is a focus on vertical integration from cloud to engine to tooling, to our clients on many devices to discovery economy and safety. As opposed to what typically and often happens in the gaming industry as in a bespoke way putting together different cloud, different engine, different social communication. We have an enormous amount of high-fidelity AI training data. That we will share more with you, and you can watch on our main X as far as what we are doing with it. And we are pushing the notion for studios that the exact same game and experience should run very well and at high performance on low-end two-gigabyte Android. And at the same time, blossom into high res on a PC or console. And that includes running on every language or most languages with auto translation as well. Our stack from top to bottom is multiplayer. And we run that extremely efficiently in our own data centers. And, of course, we auto scale. And we believe for cost, it is very important to run the majority of your world on your own bare metal but be able to burst in the cloud. Finally, we will talk more about our advances in safety that are built in. A couple of highlights on critical innovations we are introducing to support genre expansion. We have now are in the middle of a full cloud rollout of native streaming of both 2D and 3D with various LODs. We are doing that automatically in our cloud. We have introduced Slim, which is our nickname for dynamically compositing very complex assets in our cloud and delivering those at various levels of detail for performance on all devices. We have announced that we are bringing native server which is very necessary and popular in competitive gaming, and we have rolled out custom matchmaking, which our creators can use to optimize either latency, age, or social connection. In the first half of this year, stay tuned. We are doing a complete release of an expansion of our Avatar system, including higher fidelity and more articulation. And finally, really, we have seen over the last few years the definition of what is a game expands. The more infra and platform technology we provide, the more we see experiences that are not typically thought of as a game. For example, dress to impress and grow a garden, and we are sharing more and more the AI tech we are building on top of our enormous data to continue this expansion with the use of AI. This week, we launched 4D generation, which allows experiences to include creation of new objects simply by users prompting and creating by AI. We shared earlier our vision on using our training data to create higher and higher quality NPCs. We are now working on photo upsampling in our cloud on both 2D and 3D for higher photorealism. And we shared really yesterday the work we are doing on our internal world model as a service and as a service that could be used both for creation by walking around and painting potential worlds, as well as something we look forward to potentially integrating with Roblox Corporation moments. In addition to this AI future, AI is really driving creation, safety, discovery, translation, in addition to these potential areas of user growth on our platform. Every day, we capture roughly 30,000 years of human interaction data on Roblox Corporation in a PII and privacy-compliant way. We are actively using this data to develop and train AI models that continue to bring our vision to life. I want to highlight that we are internally now running over 400 AI models. This includes, of course, cube 3D, which is recently expanded to do 4D or functional interactive type simulation. We have our own facial tracking client-side model that we use for avatar facial animation. Our voice safety model has been open-sourced and is open-sourced with part of the Roosk consortium. Our text filter is constantly updated, and we believe one of the best, if not the best in the world. Our text and voice translations are supporting publish once. And chat in multiple languages. And, of course, we highlighted our internal world model team and our internal NPC efforts as well. We see a future of creation in Roblox Corporation Studio, that is enhanced not just by cogen, and not just by experience gen, but ultimately agentic iteration and testing in our cloud once again powered by our 4D foundational and 3D foundational cube models. Some other AI highlights, and then I will turn it over to Naveen. In discovery, AI has been driving personalization. In Q4, AI drove a double-digit increase in the number of unique experiences that are surfaced in our recommended for you algorithm. In 2025, on average, users engage with over 24 unique experiences per month. This is up double digits from 2024. And I want to note we have done this all relatively by sharing with our creators the factors we use for discovery. Of course, critically, in safety, we have been using AI not just for our voice model, but with state-of-the-art models like Roblox Corporation Sentinel and Roblox Corporation Guard. And I want to highlight in safety the continued focus on our goal to lead the world in online gaming safety and stability. We shared a few months ago what we believe is the gold standard. We continue to innovate in this direction. Of course, no image sharing on Roblox Corporation. Of course, monitoring text for critical harms. But in addition, moving to the estimation of age of everyone on our platform, and the use in how we support chat. In Q4, we started a global rollout of age verification for access to communication in the US, Australia, New Zealand, and the Netherlands. I am pleased to report adoption has been strong with approximately 60% of DAUs age-checked in these markets. We completed our global rollout in '26, and as of January, we have achieved 45% penetration of global DAUs. We are bullish about continued adoption with Australia, New Zealand, and as a model, we are also rapidly enhancing our platform to make both age check adoption and to improve its reliability. And then kind of a fun full circle here. That as part of our age estimation release, we are really going up and down our system. We have enhanced our matchmaking to cluster users based on their age and skill level. We are moving to continuous age estimation, which will use additional signals such as play patterns, the social graph, economic activities to supplement facial age estimation. And over the coming months, we have more product launches, including always continuous refinement of our text and voice filters. We are ambitious, and we believe these types of enhancements really give us the opportunity to enable even higher level of engagements than what we saw prior to our age check rollout. From a commercial and financial standpoint, our flywheel continues to accelerate. We believe having all ages on our platform is a long-term strategic opportunity that many other platforms are not confronting as they claim 13 and up users. We are seeing the growth we saw in 2025 in combination with fixed cost discipline to reinvest in our creators and our infrastructure all really with an eye to fueling continued growth and long-term margin expansion. We are excited about the innovations we are developing and executing across all areas of our platform, which we believe will ensure our ability to continue to deliver on our long-term vision and deliver growth over a multiyear period. With that, I will turn it over to Naveen.
Naveen Chopra: Thank you, Dave, and good afternoon, everybody. Dave obviously shared a lot of the highlights from Spectacular 2025 and a strong end of the year in Q4. I am going to share a few reflections on the business based on what we have observed over the last few months. And then also share some additional color on our expectations for 2026. We have more conviction than ever in the ability for Roblox Corporation to grow in excess of 20%. Our platform is healthier than ever. In fact, if you look at Q4, we saw very strong growth rate, 63% growth in bookings, without the benefit of a big new viral hit. Our age check data, as Dave mentioned, showed that we have an even larger opportunity to grow with older audiences than previously imagined. That's especially true in the United States, where the 18 and over cohort on our platform is growing at more than 50%. We have an international business that is still relatively nascent and growing at close to triple-digit rates. And the pace of innovation in AI is a tremendous accelerant and has the potential to help us grow beyond gaming as we develop even deeper connections into communication, entertainment, and commerce. In addition to the tailwinds on the top line, all the ingredients for long-term margin expansion are in place. Now that margin expansion may not be linear, as you can see with investments that we are making in 2026. But in the long run, we expect to capture operating leverage from COGS infrastructure, and our fixed costs. So as I said, our conviction in the ability to drive very healthy top-line growth and bottom-line margin expansion continues to grow. Now at the same time, we have learned that it is difficult to predict exactly where this business will land twelve months out. I mean, if you look back at 2025, when Roblox Corporation set guidance, Steel of Brain Rot, and Grow a Garden had not even launched. And that's created a situation where the company has had to provide relatively conservative guidance. I do not think that's helpful to investors, and it's certainly not helpful to the day-to-day operation of our business. So we are going to get out of that cycle. We are going to give everyone a long runway. We are providing detailed guidance for 2026. But as we get into 2027, you will see us starting to guide one quarter at a time. So let's talk about 2026. We are expecting bookings growth of 22% to 26%. Those estimates are informed by the quality of the users that we saw come to our platform in 2025. It's informed by recent content trends that we have seen in early 2026. It reflects our confidence in the adoption of our age-checking technology, and a number of things that we have planned in our roadmap related to our economy, discovery capabilities, and many other features. Now importantly, our bookings guidance does not assume we would not be able to predict it, another viral hit of the magnitude of a Grow a Garden or a Steel of Brain Rot. Now when it comes to margins, we are expecting at the high end of our bookings guidance margins to be relatively flat year over year. At the low end of bookings, we are estimating a slight year-over-year decline in margin. That's driven by the increase in the DevEx rate that we announced last year, and we will see a full-year impact of that in 2026. It incorporates investments that we have talked about related to continued growth in users and engagement and also AI workloads. And we are also planning to invest more aggressively in safety marketing to better educate our users, parents, and other constituents about everything we are doing to ensure that Roblox Corporation remains a leader in online safety. And we are funding a decent chunk of those investments through operating leverage on COGS and fixed costs. Our guidance also implies another year of strong free cash flow growth. In fact, at the midpoint of our guidance range, we are estimating 26% year-over-year growth in free cash flow. That includes a slight uptick in CapEx spend relative to last year, as we are continuing to land GPUs in our own data centers and also navigating the recent inflation in memory prices. So overall, we see 2026 as another year of strong growth on top of a spectacular 2025. We are making investments in our creators, in our infrastructure, in our safety, all of which sets us up for future shareholder value creation in the form of long-term growth and margin expansion. With that, open the line for questions.
Tiffany: Thank you. At this time, if you would like to ask a question, press star. Then the number 1 on your telephone keypad. To withdraw your question, simply press 1 again. Once your line is open, we ask that you present all questions upfront to our speakers. We will pause for just a moment to compile the Q and A roster. We'll take our first question from the line of Kenneth Gawrelski with Wells Fargo. Please go ahead.
Kenneth Gawrelski: Thank you very much for the opportunity to ask questions. Appreciate it. Two, if I may. First, maybe one, could you talk about do you give a little bit more color on, you know, the elements that inform your outlook for the bookings outlook for the year, I think it was it certainly has been a bit better than, you know, than feared. Could you talk about I know you are saying that you do not assume any big viral hit. But, like, how much visibility do you have kind of beyond the first quarter into content schedules and releases? And kind of what informs your conviction in that guidance? And then the second one, maybe just could you elaborate a little bit more on the you said the increased the better opportunity to target the 18 plus. And maybe within that kind of if you could please if you could please talk a little bit about, you know, the recent developments with Genie and AI gaming. Just how does that inform your view? And help hurt you know, how are you going to use AI to make the platform better for developers? Thank you.
David Baszucki: Hey. It's Dave. I'll kick off a little on the first question, pass it over to Naveen, and then come back on the second question. You know, we have a lot of internal leading indicators. We can see that in the, you know, somewhat correlate to the health of our system. And part of that is content diversity, content distribution, content velocity, and types of content that are hitting different age ranges and genres. And we see a lot of health in that. So from just the high-level predictive view, that is one confidence-inspiring thing we would see. I'll hand it over to Naveen on more of the modeling and the makeup of our bookings forecast.
Naveen Chopra: Yeah. Thanks, Dave. I mean, I'll really kind of put a finer point on what Dave said and then a little bit of what I said in my opening remarks. You know, the content dynamic that Dave mentioned, I mean, we saw both in Q4 sort of an increasing diversity of content. We noted in our shareholder letter that experiences outside of our top 10 are growing at an even faster rate than they were in Q3, and that's true both with respect to engagement and bookings. So that's something we really like to see just, you know, spreading the growth around, if you will. And we've continued to see similar trends in early 2026. And we like both the diversity of content, but also the freshness of the content. So there have been, you know, even not necessarily something as big as a Grow a Garden or Steel of Brain Rot, but there have been new titles come in that have grown in a healthy way, which, you know, gives us a lot of confidence in the power of the platform. I also mentioned the quality of the users that we saw in 2025. You know, there was some uncertainty in that period of very high growth. You know, are these sort of low-calorie users that are going to come in and disappear? But when we look at what has happened on the platform, the behavior of the new users that came to Roblox Corporation in Q3, Q4, you know, they largely look like our core users, and that's true when you think about, you know, how they engage, how they spend, how they retain. So that gives us confidence in, you know, how to think about the business over the next few quarters. You know? All that being said, there is still uncertainty trying to predict exactly where things are going to land twelve months out. That's the reason we do not think annual guidance is the right approach long term. We are using a slightly wider guidance range for 2026 than what we've used in the past, which kind of reflects some of that uncertainty. And then importantly, as I said, we are not building into our guidance an assumption of a massive viral hit the size of a Grow a Garden or a Steel of Brain Rot. We're optimistic that things like that will happen again, but we can't predict them, they're not built into our guidance.
David Baszucki: Dave, you want to take the second question? Hey. And then just on the AI future, and I highlighted a little that we're optimistic we're going to see an expansion of the definition of really what is gaming, and AI is going to power that. I'll step back, though, to our mission, and our mission is to connect a billion people every day with optimism and civility. And I'll highlight the word connect, which means bring multiple people together to play, to learn, to work. And for the last really, since we've gone public, we've been sharing the visionary spec we've been building, which is many, many people coming together in physically simulated environments within games to play. We've started adding the notion of adding both NPCs as well as people to those environments, making those environments more and more photorealistic, and finally, making those environments one in which in real-time, people can create, modify, and change the environment. So we are staying with that stack, that spec, and we're, you know, as we showed on X yesterday, starting to use AI up and down the stack, upsampling, 3D to bring things more to life, training NPCs with the 13 billion hours of not just video data, but intrinsic 3D world data. And we highlighted yesterday our internal world model team what they've done using not just video data, but internal Roblox Corporation data to build internal world models that we think we can use both for creation and whatever. I will highlight one thing, and that's very important to the spec we're designing. We're building multiplayer platform technology. We're building stuff that brings people together. And a lot of the current work that you see out there is operating in video latent space, rather than synchronized 3D multiplayer cloud space. I would just cautiously highlight investors to understand the difference of that. You can read our recent tweet on X. That said, we continue to be optimistic about hybridizing and putting together many AI components to build the stack we're talking about.
Tiffany: Thank you. Your next question comes from the line of Eric Sheridan with Goldman Sachs. Please go ahead.
Eric Sheridan: Thanks so much for taking the question and appreciate all the disclosure in the materials and especially the shift around the guidance philosophy. Dave, I have one for you. The journey you've been on with respect to discovery, on the platform over the last twelve months, what have been the key lessons you've learned about the opportunity that sits in front of you based on what you've learned about the evolution of discovery, and how does that align with your strategic priorities either for the platform or individual products as you look out over the next couple of years? Thanks so much.
David Baszucki: Discovery is a really hard problem to do right. And we believe being transparent in it is very important. We're as much as possible trying to optimize discovery not for short-term gain, but for long-term gain. And that's both long-term gain in user engagement as well as long-term gain in platform health and creator health. And any efforts to optimize discovery in the short term may not be optimal for long-term enterprise value and the health of our system. So figuring out how to personalize discovery for every user in a way that connects great users with great content in the long term is what we've been focusing on. What we've seen as a result, as I mentioned, is more good content reaching more great users. An increased robustness in the diversity of our content mix, in a way that we believe is very, very healthy. And, also, future opportunities. So stay tuned with moments. We believe for many users, browsing in-game experiences will more and more be a complement to our discovery. It's a long-term journey, and we'll keep getting better at it.
Eric Sheridan: Thanks so much.
Tiffany: Our next question comes from the line of Matthew Cost with Morgan Stanley. Please go ahead.
Matthew Cost: Great. Thanks so much for taking the questions. I have two, maybe for Naveen to start. I think the gross margins that you showed in the quarter were, I think, the second strongest that we can see going back even to 2020. I think it's the only time you did better. When we think about that improvement to gross margin, is that a function in the fourth quarter of a shift towards direct payments or any other moving pieces? And could you just give us an update on kind of the direct payment initiative? And then, a second one for Dave. If I could. I think the detail on the blog post that you've shared so far on the call about the work you're doing with AI and world models is incredibly helpful. And I want to put a finer point on the concerns that we've seen coming up in the market over the past week about the potential for, you know, disruption to your business from other, you know, advances from with AI coming from other companies out there in the space. And I wonder if you could respond to those concerns and, you know, what you see as the differentiating factor that protects Roblox Corporation. I think the commentary you made a moment ago about, you know, multiplayer versus non was really helpful, but if you could expand on that. Thank you so much.
Naveen Chopra: Yeah. Hey, Matt. Thanks for the question. I'd really point to two things in relation to your question on gross margin in the quarter. One, as you hypothesized, we did get some tailwind from COGS. I think as we've spoken about in the past, we are doing a number of things in the product to try to steer the purchase of Robux to lower-cost platforms, and that honestly performed better than we anticipated in Q4. And that was very helpful from a margin perspective. The other source of margin expansion in the quarter was really bookings. Bookings came in also better than expected, which gave us powerful leverage against fixed costs. When we look forward, and I think I spoke about this in relation to 2026 margins, we do continue to expect improvement in COGS rates as we are able to shift more and more of the business to lower-cost platforms. You know, that's not going to be necessarily linear. There will be, you know, places and points in time we're able to be more or less aggressive on that. But in the long run, we do see that as a source of additional margin expansion in the business. Dave, on AI?
David Baszucki: Yeah. I would hey. This is a great question. I would flip it and share how we think about it internally, which is an opportunity for disruption in the opposite direction. Which is an opportunity for the expansion of the Roblox Corporation vision beyond gaming into the future mix of what is entertainment and where does gaming end and where do other points begin. You know, ten years ago, a lot of people in the market used to talk about how is video going to get interactive, and there's been a lot of experiments on that that have been very difficult. But the other direction to think about is how does gaming expand and become part of entertainment. So I would say stay tuned on that. We feel what we're building, which is multiplayer technology that runs in the cloud, that more and more can load instantly, that more and more can be consumed in smaller bite-sized nuggets. More and more start to blur those two visions. World models are interesting. I would say not initially in many of the ways that I think many think, but we do think they have an opportunity for walking around and painting a world, for example, have a really interesting opportunity to think about where does video end and snapshots end and interactivity begin. And so we have developed our own models there, but the core of our technology will continue to be the very difficult problem of 3D cloud synchronization and building communication type technology.
Tiffany: Our next question comes from the line of Omar Dessouky with Bank of America. Please go ahead.
Omar Dessouky: Hi. Thanks for taking my question. I wanted to ask more of a financial question. Specifically, how do you think about dilution stock-based compensation in 2026? With your stock price significantly down compared to last year, could you explain how having that stock-based comp flexibility is helping you make long-term strategic investments? For example, what investments besides headcount have a higher ROI that you would use that cash for? Thanks.
David Baszucki: I'll go first, and then I'll hand it over to Naveen. You know, internally, we're always running a multiyear model on stock-based comp and dilution at a very, very wide range of stock prices. And running the business in a way we feel comfortable. So do think about these things and model many dimensions. I'll hand it over to Naveen.
Naveen Chopra: Yeah. Not a ton to add to that, Omar, but, you know, number one, I would say we look at this at a pretty long-term horizon. I mean that both with respect to the share price and dilution. I mean, sure, dilution at various points in time might spike just because of what's going on with the stock price. But ultimately, we think we're going to create shareholder value and, you know, that will cause dilution to come down over time. If you look at what's happened over the last few years, that's definitely been the case. So some would pay attention to, but we're much more focused on the operating results of the business because dilution's going to get solved by that.
Omar Dessouky: Thanks a lot.
Tiffany: Our next question comes from the line of Brian Pitz with BMO Capital Markets. Please go ahead.
Brian Pitz: Thanks for the questions. Maybe a quick update on your ramping advertising ambitions and how you're thinking about the potential growth contribution from advertising in 2026. And then any additional detail about the age verification rollout, which maybe was not as smooth as you hoped? Can you comment on specific challenges and adjustments the team has made to ensure a better transition? Thanks.
David Baszucki: I'll go first. We sure do not think about it that way. We're very excited and proud of the way our age verification rollout has gone, and we're very optimistic that the result of it has been expanded thinking within our team on long-term how to be unique in being a platform that can have all ages on the platform, can monitor and help how communication happens on the platform. I'll say that we gave our internal teams an ambitious goal of rolling this out eventually with no friction. And I would say by doing this, we've found so many other opportunities for optimization that I'm very pleased and happy with the way the rollout's gone.
Naveen Chopra: And then on advertising, you know, we expect our advertising business to show pretty healthy growth in 2026. That being said, it is still modest. It's not a major contributor to the top line as you've heard me say in the past. It is going to take some time to grow. I think the long-term opportunity is very given the scale and engagement of our platform. But it is going to take some time. And we are executing carefully with respect to building out those products, the integration of the technology in our platform, working with our creators to expand the amount of inventory, that is available and we're going to continue to be very methodical about that. To make sure we're building the business in the right way.
Tiffany: Our next question comes from the line of Cory Carpenter with JPMorgan. Please go ahead.
Cory Carpenter: Hey. Thanks for the question. I had two. Maybe first, there's been some reports of interest in maybe building your presence in China. Anything you can comment on there in the type of opportunity that you see? And then just on the age of users, you know, framed it as the large opportunity. Given, in novel game experiences, given, you know, more younger users than previously reported. You know, the half glass empty view of that, of course, could be that younger users have been tougher to age up on the platform than you expected. So, you know, what's giving you the confidence to invest there that you can age up more with users?
David Baszucki: I'll go first on China. We continue to be a great partner with Tencent, and we continue to see a huge opportunity in China. We've revamped the way we look at China. If we were to go live in China, we would do it in an air-gapped way. And we think our infrastructure is built and designed in a really unique way. We can abstract and deploy it in multiple places. On our, you know, a couple of things about age checking and getting detail on estimated age. The first thing is it highlights the level of cultural phenomena that Roblox Corporation has become. And so yes, age checks slightly younger than self-reported. But if anything, it highlights a success. I, you know, I look to a couple of things. First, over 50% growth year-on-year eighteen plus. Two, the platform and technical advantages we've used to get to where we are in 18 are exactly the same eighteen plus vertical integration all the way from cloud to apps to discovery to social graph and beyond, we believe, rather than saying, ultimately, the tech as well, supporting more and more realistic experiences. So I, I continue to be absolutely bullish on our eight and up opportunity.
Tiffany: Our next question comes from the line of Shweta Khajuria with Wolfe Research. Please go ahead.
Andrew: Hi. This is Andrew from Shweta. Thanks for taking the question. Just kind of one on the age check rollout. You know, you talked a lot about the penetration that seems to be going well, but any change in behavior or engagement levels for those who have completed a check or if not yet. And then maybe when you think about the derivative impacts of paycheck, is it possible to think about how the older cohorts may be viewing this as a quality of life update, and that might be contributing to the engagement levels that you're seeing?
David Baszucki: Yeah. I'll give one example on why excited about this, and that is the more we get into age check interacting with communication, the more we can more accurately match make different age bands together. That's one of the factors that makes me so optimistic is that age, you know, banding our matchmaking in ways that brings the average, you know, older user together as well as the average 15-year-old together. We believe can be a long-term growth aspect. So think this is going to become it's why we call it the gold standard, actually. And what we've seen after we did this is another very large gaming company announced they're going to do it. A communication platform announced. They're going to do it. We just see this as ultimately the way the world's going to work. We're proud to be one of the first big platforms to do it.
Tiffany: Our final question comes from the line of James Heeney with Jefferies. Please go ahead.
James Heeney: Yes. Great. Thanks, guys. Naveen, if we look at the Q1 bookings guide, it looks like a sequential decline greater than 20%, which I think would be one of your bigger sequential slowdowns. Is there anything you're calling out there specifically, or is it just kind of the conservatism that you called out? Anything specific and even maybe what you're seeing so far in Q1. Thanks.
Naveen Chopra: Yeah. I mean, I guess I look at it pretty differently. You know, this is a quarter where we do not have at this point, a big new viral hit. And so, you know, to put up 40% to 44% top-line growth in the absence of that, I think we should all be very, very excited about what that says about the health of the platform. You know, we said last quarter, that as we started to move past this period of time with huge viral hits, that growth would slow. So I do not think anyone should be surprised by the sequential trend there. If anything, I think we should be really excited about what we're seeing early in the year. I'm going to turn it over to Dave to close that.
David Baszucki: Hey. Thank you all for joining us on our call today, and we appreciate the really interesting and thoughtful questions. Thank you all, and we'll look forward to seeing you in a quarter.
Tiffany: This concludes today's conference call. Thank you for your participation. You may now disconnect.